Operator: Good morning and welcome to Whirlpool Corporation's First Quarter 2014 Earnings Release Call. Today's call is being recorded. For opening remarks and introductions, I would like to turn the call over to Senior Director of Investor Relations, Joe Lovechio.
Joseph Lovechio: Thank you, and good morning. Welcome to the Whirlpool Corporation first quarter 2014 conference call. Joining me today are Jeff Fettig, our Chairman and CEO; Presidents, Mike Todman and Marc Bitzer; as well as Larry Venturelli, our Chief Financial Officer. Our remarks today track with the presentation available on the Investors section of our website at whirlpoolcorp.com. Before we begin, let me remind you that as we conduct this call, we will be making forward-looking statements to assist you in understanding Whirlpool Corporation's future expectations. Our actual results could differ materially from these statements due to many factors discussed in our latest 10-K and other periodic reports, as well as in the appendix of the presentation. Turning to Slide 3, we want to remind you that today's presentation includes non-GAAP measures. We believe that these measures are important indicators of our operations as they exclude items that may not be indicative of or are unrelated to results from our ongoing business operations. We also think that the adjusted measures will provide you with a better baseline for analyzing trends in our ongoing business operations. Listeners are directed to the appendix section of our presentation beginning on Slide 35 for the reconciliation of non-GAAP items to the most directly comparable GAAP measures. With that, let me turn the call over to Jeff.
Jeff M. Fettig: Good morning, everyone, and thank you for joining us here today. As you saw in our earnings release from earlier this morning, we are very pleased with the progress that we made in the first quarter. Despite some challenging global markets and foreign currency impacts, we were able to deliver our fourth consecutive quarter of revenue growth and our ninth consecutive quarter of expanded margins, which in total resulted in a record first quarter operating profit. We have been able to do that while at the same time we're increasing our investments in our business to continue this profitable growth trend going forward. Overall, we're firmly on track and remain confident in delivering our operating profit margin guidance, our earnings per share, and our free cash flow guidance for 2014. If you turn to Slide 6, I'll summarize our financial results, starting with, excluding the impact of foreign currency, our revenues were up 6% versus last year. Our ongoing business earnings per diluted share were up approximately 12% to $2.20 compared to $1.97 last year. Next I'll turn to Slide 7, where our regional industry demand assumptions or forecasts that we gave you earlier have not changed. For North America, specifically in the U.S., despite a challenging first part of the quarter, we remain confident in our industry demand assumption of 5% to 7% demand growth for the year, as we expect growth in U.S. housing for the full year, increased demand related to the replacement cycle of appliances, and significant improvement in discretionary demand that we're currently seeing improving. In Europe, we continue to expect flat to up 2% industry for the full year as the region has stabilized and now is beginning to recover. And for Latin America for the full year, we expect a flat industry, which is unchanged. And finally, our Asia forecast remains flat to up 3%, but varies significantly across the region. So in total, we do continue to expect positive global demand for the full year. Overall, we remain confident in the underlying drivers of our business and our focus on multiple paths to drive profitable growth. Our confidence in these areas has allowed us to significantly increase our investments in parts of our business, continue our profitable growth trend, as well as enhancing our returns to shareholders, as demonstrated by our recently announced 20% dividend increase and the new $500 million share repurchase authorization. So at this point in time, I'll turn it over to Marc Bitzer. Marc?
Marc Bitzer: Thanks Jeff. Good morning, everyone. Let me begin on Slide 9 by reviewing North America's performance in the first quarter. Starting with the top line, in spite of flat industry driven mainly by the extreme weather in January and February, our unit volumes were up approximately 4% as we gained market share in the quarter. Net sales of $2.3 billion for North America were also up compared to the prior year period and up 5% excluding currency. We saw gross margins expand by 60 basis points in the quarter due to higher sales and ongoing productivity, more than offsetting higher material costs and unfavorable currency. We also increased our investments for our brand marketing and support of new product launches to drive continued growth. Our ongoing business operating margins were up approximately 10% for the quarter and a record first quarter ongoing business operating profit of $228 million compared to $218 million in the first quarter of 2013. The consistent and disciplined execution of our actions resulted in the fourth quarter of year-over-year revenue growth and the 10th consecutive quarter of year-over-year ongoing business operating margin improvement. Now let me take a moment to talk about our expectations for 2014 as shown on Slide 10. While extreme weather created a temporary softness in U.S. appliance demand in January and February of this year, we've already seen a significant increase in March [indiscernible] industry up almost 9% and we continue to see positive trends in April. Additionally, we remain optimistic about both new construction and existing home sales, and we see increased demand from normal replacement purchases as well as discretionary purchases driven by improving consumer confidence. So we remain confident in our 2014 industry guidance of up 5% to 7% for the year, and in addition we expect positive net cost productivity for our business. We continue our focus on launching innovative new products, especially in the second and third quarters of this year. During this quarter, we also have a few examples of how we're driving growth beyond our core business, with our EveryDrop Water Filter and the expansion of our Greenville, Ohio plant to increase our capacity for small domestic appliances, just to name a few. Turning to Slide 11, you can see an example of our increased investments in marketing, technology and products, as we highlight a new phase of dependability for our Maytag brand with a massive TV and print ad campaign. On this page, you see our durable, reliable and powerful Maytag knobs and handles as well as a couple of [indiscernible] marketing pieces for our Maytag laundry and dishwasher products. I will now talk to our first quarter results for our Europe, Middle East and Africa region as shown on Slide 13. Sales were $720 million compared to $668 million in the prior year. Excluding currency, sales increased approximately 4% for year driven by higher volumes from share gains and growth in our small domestic appliance business. The cost and capacity reduction initiative we put in place last year combined with ongoing productivity helped to deliver another quarter of positive operating profit. The operating profit of $7 million improved by $15 million compared to the prior year period and the operating margins improved 220 basis points. Now turning to Slide 14, while the market environment in the Eurozone remained somewhat soft, we are seeing some recovery and expect normal seasonality as we progress throughout the year. We expect positive operating profits and margin expansion driven by continued benefit from our ongoing cost productivity programs and our previously announced restructuring initiatives, and we continue to focus on our innovative new product launches and growth beyond our core. Turning to Slide 15, we're highlighting a new line of gas cooktops with glass surfaces and these cooktops have multiple design to complement a variety of kitchen styles, high power, high efficiency burners to reduce cooking times, and twin and full-coverage grids that allow maximum flexibility for our consumers. And now, I'd like to turn it over to Mike.
Michael A. Todman: Thanks Marc. If you turn to Slide 17, you'll see our Latin America results. In the first quarter, the industry was up 10% while our unit volume grew over 15% as we continue to gain share. Sales for the quarter were $1.2 billion. Excluding currency and BEFIEX, net sales increased approximately 11% compared to the previous year, primarily driven by the higher volume. GAAP operating profit totaled $123 million compared to $130 million in the prior year period. Our ongoing business operating profit for the quarter totaled $109 million compared to $114 million in the prior year period. Favorable price and mix including price increases and ongoing cost productivity were offset by higher material cost and foreign currency. Turning to Slide 18 for our expectations of the region. As previously discussed, we expect the second quarter appliance industry can be down due to the World Cup, and given the government elections in Brazil and uncertain impact of inflation on consumer sentiment, we have kept our industry assumption flat for the year. We expect to continue outperforming the industry and growing our revenue, given our strong market position and current competitive environment. We recently announced the price increase for the second half to help offset negative currency impacts and significant levels of inflation. Our innovative new product launches are winning with consumers and we will continue growing beyond our core business. We remain confident in our Latin America business, and in particular expect improved performance in the second half of this year as we expect to realize the recent price increase benefits and the World Cup and tough currency comps will be behind us. Slide 19 shows how we continue to capitalize on the opportunities for growth in Brazil. Consumers in Brazil love their soccer and love their beer as well, particularly ice cold beer. The Consul brand is already a leader in refrigeration in the Latin America market, so we are excited to introduce a home beer cooler with a professional cooling system. Our first quarter results in the Asia region are shown on Slide 21. Net sales during the quarter were $166 million compared to $187 million in the prior year period. Excluding the impact of currency, sales decreased approximately 4%. Operating profit of $5 million improved by $2 million and operating margins improved 120 basis points compared to the prior year period. Favorable price and mix, including cost based price increases, as well as ongoing cost productivity offset lower unit volumes from a lower industry, increased raw material cost and foreign currency. Turning to Slide 22, despite challenging market environment, our margin expansion continues as our innovative products drive market share and improved mix and our ongoing productivity actions reduce costs. Additionally, we are on track to become the majority shareholder of Hefei Sanyo to accelerate our growth in the emerging Chinese market. We were pleased to see that Hefei Sanyo recently reported full year 2013 sales of approximately 860 million in U.S. dollars and increase of 33% compared to the prior year and operating income of approximately 60 million over 7% of sales. The transaction remains subject to approval by the China Securities Regulatory Commission, certain other regulatory approvals required by the relevant Chinese authorities and other formalities. We continue to expect the transaction to close anytime between the end of the second quarter and the end of 2014. Slide 23 shows an example of our product leadership in Asia this quarter where we highlighted the Whirlpool Icemagic refrigerator with best in class ice-making and bottle cooling, a Powercool zone to help consumers keep food safe during power outages common in India, and innovative storage solutions for our consumers' medicines and spices. Now I would like to turn it over to Larry.
Larry Venturelli: Thanks, Mike, and good morning everyone. We are pleased with our first quarter results and are on pace to deliver a record annual performance which we communicated last quarter, as shown on Slide 25. We expect to deliver annual GAAP EPS in the range of $11.05 to $11.55 per share, and annual ongoing business EPS of $12 to $12.50. Our expectations for free cash flow remain at approximately $700 million. Overall, the underlying fundamentals of our business remains strong as evidenced by our continued sales growth and margin expansion as well as a strong balance sheet. As I speak to the financial results on slides 26 to 28, you will see how we continue to expand our ongoing business operating margin in the first quarter and expect to deliver another balanced approach towards margin expansion resulting in an 8 plus percent margin for the full year 2014. Price mix was up 0.5 point and we continue to expect to realize a 0.5 to 1 point of margin driven by our cost base price increases, innovative new product launches and growth beyond our core business. Our cost and capacity reduction initiatives contributed another 0.5 point, consistent with our full year guidance. For the quarter, our cost productivity more than offset material cost inflation of $52 million to deliver a positive 0.25 point of margin expansion. Our ongoing cost productivity for the year is on track to fully offset approximately $150 million to $200 million of material cost inflation, and is expected to deliver a positive 0.5 point of margin. As planned and previously communicated, our increased marketing technology and product investments primarily reduced margins by 0.75 points during the quarter, and we expect to have a negative 0.5 point to 1 full point of margin impact for the year. Overall, our first quarter margins were on track with expectations and consistent with our expected full year improvement. In summary, for the first quarter, ongoing business operating profit increased driven by higher sales, positive price mix, ongoing cost productivity and the benefit from the cost and capacity reductions, more than offsetting higher material cost, currency and investments in marketing, technology and products. As we said back in January, we expect a stronger second half as productivity ramps up, Latin America price increases take effect, and World Cup and tough first half currency comparisons are behind us. Our continued margin improvements, combined with positive revenue growth enable us to deliver double-digit improvement in ongoing business earnings per share. The graph on Slide 29 illustrates expenses associated with our cost and capacity reduction initiative. The actions we have been taking over the past couple of years and into 2014 represent a generational change to our footprint in cost structure. As mentioned last quarter, we took additional cost and capacity reduction actions to address the soft but recovering European market and to continue to expand our margins. For the year, we continue to expect approximately $100 million of charges and $80 million of ongoing benefits. As we continue to improve margins and grow revenues, our plans to deploy the cash generated from our business are solid, as shown on Slide 30. We will fund the business for growth including capital expenditures between $625 million and $675 million. Last week, our Board approved the 20% increase in the quarterly dividend to $3 per share on an annual basis. Our Board also approved the new $500 million share repurchase authorization. Finally as Mike mentioned, we are on track with our acquisition of majority stake in China's Hefei Sanyo. The proceeds from our recent bond offering will be used to pay off $600 million of maturing debt during Q2 and Q3 that was for the acquisition of Hefei Sanyo. In summary, given our profitable growth trends, increased investment capacity and strong balance sheet, we will balance funding for all aspects of our business to ensure the best long-term value creation for our shareholders. Now I'll turn it back over to Jeff.
Jeff M. Fettig: Thanks Larry. Let me turn to Slide 32, where I'll summarize. Again, we continue to grow our revenue and expand our margins. With our innovative solutions for consumers, we are winning the marketplace and we are well-positioned to capitalize on positive global demand trends. As Larry and Mike mentioned, the Hefei Sanyo acquisition is progressing and provides an opportunity for transformational growth for us in China. We also continue to make investments and see very good growth in our beyond the core businesses are expand and extend, and in total as a result, we remain very confident in our ability to deliver a record year of performance in 2014, but equally important is our ability to continue to build upon this revenue growth, margin and earnings momentum to deliver medium and long-term shareholder value. Finally, I turn to Slide 33 which is our roadmap for growth and value creation, and I would just say we are very confident that we're executing in line with our long-term growth strategy. We are appropriately investing in our business and enhancing returns to our shareholders. As I said previously, as we achieve our 8% plus operating margin target and close the Hefei Sanyo transaction, we will provide updates to our shareholder value creation targets at the appropriate time later in the year. In the meantime, we'll continue to execute this strategy to ensure the best long-term value creation for our shareholders. So with that, I will conclude our formal remarks and we'll open this up to Q&A.
Operator: (Operator Instructions) We'll go first to David MacGregor with Longbow Research. Please go ahead. Your line is open.
David MacGregor - Longbow Research: I wonder if we could just talk about Latin America for a moment, I'm just trying to understand some of the moving parts here. You say the volumes were up about 15% against the 10% industry number, which is looks like you're holding your share gains down there, which is great to see. Revenue excluding FX up about 11%. But you say as well in your slide that the price increases are offsetting inflation and currency. Is it possible that price increases were achieved became the 4% difference between those numbers shy of FX?
Michael A. Todman: David, let me answer that. We took a price increase earlier on in the year at the beginning of the year, and now we were just executing a second price increase. So what we're expecting is the combination of all these price increases will offset all of the currency impact. But we're also looking to offset inflation, and inflation in the environment has been high. And so the price increase will offset both of those.
David MacGregor - Longbow Research: Your competitor earlier this morning talked about a 15% revenue growth in Latin America and said it was attributable almost entirely to price mix not volume. Can you help us understand the discrepancy?
Larry Venturelli: David, this is Larry. I think again what you're seeing is a little bit similar to what we saw in the quarter last year is, you got to remember on the unit side that we just have appliance units in there, we have a compressor and an appliance business. So what you're essentially seeing is the fact, if we were to combine both units from compressors and appliances and then calculate the ASVs on there, you would see the combined businesses being very positive. So it's just the abnormality we have as we're just reporting appliance units and not compressor units.
Jeff M. Fettig: David, this is Jeff. I just want to add one last point. I think you know there are three pieces of our Latin America business, Brazil appliance, the appliance market outside, 32 markets outside of Brazil, and our global compressor business, and of that it was under different conditions and Brazil appliance business is going very strong, very well, a large nation with countries like Argentina and Venezuela, et cetera, has been very unpredictable, and the global compressor business particularly because of China has been I would say weak in the first quarter but we're starting to see recovery as we go forward. So it's a number of these things but the biggest part, Brazil, we had a very good quarter.
David MacGregor - Longbow Research: Thank you for that detail. Could I just ask you to elaborate a little further on your observation as April has been good in the United States?
Marc Bitzer: David, it's Marc Bitzer, and let me expand the April comment more into the first quarter or so, not forward but backwards. As you well know, January and February was impacted very strongly by weather and quite still a lot of trade inventory moves. We've seen in March a very strong demand by way of both sell-in and sell-out, and we pretty much see almost the same level of strong momentum in marketplace throughout April, both sell-in and sell-out, which gives us a lot of confidence.
David MacGregor - Longbow Research: And can you speak to the builder business as part of that or is it retail, I mean just could you distinguish between those two elements?
Marc Bitzer: No, I mean, David, first of all, it's both, but be also clear we saw – if you go back further in time, Q3, Q4, we saw exceptional strong momentum in builder business that by definition came down a little bit in January and February because of the momentum and you just could not complete certain houses and never – you know our appliances come in pretty much last, so you saw a little bit of dip on this one, but our builder business also in Q1 and the builder market from what we see has been up in solid single digits to high single digits.
David MacGregor - Longbow Research: Okay, great. Thank you very much.
Operator: We'll take our next question from Michael Rehaut, JPMorgan. Please go ahead. Your line is open.
Michael Rehaut - JPMorgan: First question I had was on North American margins, a little bit up year-over-year but down sequentially, and I think in the past couple of years, I guess from a seasonality standpoint, sometimes it's up sequentially 4Q to 1Q, sometimes it's down, so I was wondering if you could highlight if there were any drivers on a sequential basis that took you down from the 11% that you did in the back half of '13 and also in 4Q itself down to a little under 10%, if those are kind of temporary, if you would expect to kind of get back to that 11% run rate that you did in the second half of last year?
Marc Bitzer: Michael, it's Marc Bitzer. First of all, to make a long story short, we see the same strength for our margin in Q1 as we saw in Q4. Typically, what you expect between Q4 and Q1 is a slight dip in margins that comes largely from the seasonality of certain product types. It's less when you would for example see in Europe or other markets, but there is a small dip what you historically see. The other thing which I want to highlight or point towards also, and I made reference about it in the script, our margins in Q1 year-over-year, the gross margin is up 60 basis points, and you see that also that is offset largely by the brand investments. Most brand investments are also up sequentially even versus Q4 because we simply ramped up this massive Maytag campaign. So long story short, I mean our margin momentum I would say continues that strength.
Jeff M. Fettig: And I would just add and again we're not going to dwell. The only surprise we saw at all in the first quarter what we talked about in January and February. We went from an industry which was running high single digit to low double digit in the last six months of last year to January February combined was like negative 5, and as soon as we got out of the challenging weather conditions in half the country, we went right back to the run rate industry demand before. So that was really the only difference. Our decision to invest more in new products and brand investment is very consistent with our strategy. We didn't stop any of those because of Jan-Feb shortfalls in volume because these were more long-lasting and these will fuel further revenue growth for us.
Larry Venturelli: Michael, it's Larry. Just keep in mind, when you look at volumes in North America Q4 to Q1, volumes are 20% to 25% lower in Q1. So you're just not getting the same leverage.
Michael Rehaut - JPMorgan: Okay, I appreciate that. Thanks for that help. And also on Latin America, just trying to get arms around the timing of the price increase, if that's something that you expect to go into effect in 2Q or is that more of a second half event, and as the flowing through of inflation and currency continues to impact that business, certainly on a year-over-year it was a solid, still solid result, but in terms of 2Q itself, given the timing of the price increase, et cetera, some of the cost, would you expect margins to dip a little bit in that quarter and then rebound in the back half of the year, just trying to get a sense of the timing?
Michael A. Todman: Michael, it's Mike. The price increase has already been announced and it will go into effect throughout the second quarter. So we'll likely see the real benefits of that price increase in the second half of the year. In terms of, and we stated, our experience has been this World Cup means that we're going to have lower demand in the second quarter, and so as you pointed out, yes, we do expect margins to be slightly lower but we expect a very strong second half as we both recover on the volume slide as well as the full impact of the price increases.
Michael Rehaut - JPMorgan: Great, appreciate it, thanks.
Operator: We'll take our next question from Denise Chai with Bank of America. Please go ahead. Your line is open.
Denise Chai - Bank of America Merrill Lynch: So just want to follow-up on your North America SG&A, you mentioned the Maytag campaign, so will we see that kind of spend continuing in the coming quarters or was that really a drag on SG&A in the first quarter because it's a small quarter and also it was weather impacted?
Marc Bitzer: Denise, it's Marc Bitzer. First of all, also let me elaborate on SG&A and that is consistent with what we said earlier. If you look – if you will break down our SG&A into two components, one, call it infrastructure which is basically the [indiscernible] fixed cost [indiscernible] revenue generation which is [indiscernible] by investments, we held in North America our infrastructure expense as flat for the last two or three years and we will not change that going forward. So we will have a strong – we had a strong focus on maintaining that fixed cost for that. So the thing which we basically did is we dialled up our brand investments and [indiscernible] Maytag launch, we also have significant amount of product launches in Q2 and Q3 of a magnitude which we probably haven't seen in a long time, and that will be supportive by rev gen. Now having said that, let me get back to Larry's point, we have these brand investments, of course on a low volume base, you lose just some of the leverage, and that's by definition, but I mean with the revenues growing Q2 and Q3, that will probably somewhat change [indiscernible].
Jeff M. Fettig: Yes, Denise. So what you expect is – no, this wasn't a one quarter, this was kind of the rate we're spending. We had a very low demand quarter. As a percent of sales, it will likely decrease with the same dollar spend.
Denise Chai - Bank of America Merrill Lynch: Okay, got it. And then, were there any kind of direct one-off costs from weather disruptions given the factory closures and the fact that you couldn't even ship out of that ladder for over a week, were those material?
Marc Bitzer: Denise, again it's Marc. First of all, that may be specific to [indiscernible]. We were not only impacted by consumers, but keep in mind we have a majority of factors up north. So, we have a lot of production in Ohio. Yes, indeed, it was very hard to get trucks out of Ohio which had a temporary impact on our logistic cost and [indiscernible] supply chain will always cost you something. It's not a huge [indiscernible] but it involves a one-time impact probably around $10 million to $20 million.
Denise Chai - Bank of America Merrill Lynch: Okay, thank you. Just one last one, you gave us the North America gross margin. Can you give us some sense of the other regions please?
Larry Venturelli: What was your question?
Denise Chai - Bank of America Merrill Lynch: Gross margins in other regions besides North America?
Larry Venturelli: I mean I think what you saw across the regions, as Marc just mentioned, international margin is also up. So what you're seeing is the benefit from the price mix improvement in the international businesses that have been able to offset a lot of the material cost inflation and FX that we have. So I would say globally very consistent to what Marc talked about in the North America picture.
Operator: We'll take our next question from Ken Zener with KeyBanc. Please go ahead. Your line is open.
Ken Zener - KeyBanc Capital Markets: So, no good deed goes unpunished. You beat AHAM but [took out] (ph) margins. So I just want us to walk through what I think you already said. Marc, you just said $10 million to $20 million hit from weather, is that correct?
Marc Bitzer: Yes, that's what we said.
Ken Zener - KeyBanc Capital Markets: Would that be considered – hopefully one time, but that would be a sequential benefit, right, to whatever the run rate is?
Larry Venturelli: That would be correct.
Ken Zener - KeyBanc Capital Markets: Now the $10 million to $20 million hit that you just described, does that represent more of a margin drag if you will or the cause for lack of margin expansion, is that greater than the SG&A investments that you just described, given your 60 basis point improvement in gross margin, just trying to get a sense of magnitude here?
Marc Bitzer: Ken, it's Marc Bitzer. Obviously you can do the math. If SG&A went up 0.5 points, on the revenue base you can do the math. So by definition, it's even the ballpark is much likely less and [indiscernible] logistics cost is slightly less. I mean logistics cost technically flows into our gross margins. So that is not showing up in the fixed cost, that is in the variable cost.
Jeff M. Fettig: Ken, this is Jeff. If you start back, take a global look and go down the key drivers of our business, volume was a little bit weaker than we expected, largely due to the U.S. that we talked about. We know, we've seen that [indiscernible]. So that's – we don't see any other big changes around the world. Price mix, we were up I think 0.5 point, we've guided for the year to 0.5 point to 1 point, and with some of the cost based price increases that are kicking in, we still feel very good about that. Next one, productivity. As always, our productivity ramps up throughout the year. That will be especially true this year where we had a weak demand in the first quarter or so, that's a negative productivity, so a return to normal demand plus our normal ramp up during the year productivity will be a big lever. Restructuring benefits, those will flow and we got them in the first quarter and those will flow throughout the year. The offset is increased brand and product investment, but in total, the walk if you will from last year to this year, we remain confident in delivering our 8 plus percent margin for the whole year. So by definition, yes, our run rate will increase.
Ken Zener - KeyBanc Capital Markets: Thank you. If we look at the – well, let me ask about your cash flow because I think we're getting to the point now that investors are getting more focused on that, as you are, with the pending Hefei acquisition as well as the announced share buyback, now you guys did some buybacks last year but it was mostly for share options if you will, could you comment on how much of that $500 million is dedicated to net share repurchases, A, and then B, given that you talked about Hefei on the call here and you did mention China in relation to your compression being kind of weak, could you just start giving us a context so investors have some context when you guys do acquire the company for what is happening in China and we can start getting used to your language for that region? Thank you.
Jeff M. Fettig: Ken, this is Jeff. I go back to use of cash, investing in the business which we're doing at an interest rate, paying down debt [indiscernible] et cetera were very predictable on drag, return to shareholder, as we did last year we both increased the dividend and have an authorization for $500 million, and we have the very important M&A in Hefei Sanyo. So, we're very much executing to what we've been communicating is our plan. Last year we purchased $350 million which was by the way our authorization. We don't have any defined time period for the current authorization. We typically fund out of free cash flow generation. Your question on dilution at today's stock price would probably run around 1 million shares a year dilution. So I mean clearly that's, if done today it would be a net reduction but again that we've done over some period of time, and we really can't give you, as we said in the very beginning I guess last July, that as soon as we close, because this is a publicly traded company, in China we cannot disclose non-public information of Hefei Sanyo. So, we will not be able to give you all the details of the impact it has on us. I mean you do have the end of the year data point which is clear and shortly after we close or whatever is appropriate, we'll go through in great detail both the impact on earnings standpoint on an ongoing basis, our expectations of growth in earnings and cash.
Ken Zener - KeyBanc Capital Markets: Right, I understand that. I guess just trying to keep the commentary constrained to your current business, you did highlight compressor, when you're talking about Latin America, different business, and you did highlight compressor had some weakness in China, related to China, that's the…
Jeff M. Fettig: Yes, Ken, the Chinese market and depends on which product category, but first quarter was weak. There's different data but it was double-digit declines. We don't think that's a forever thing there it's going through, there has been some slowdowns in China. We were comping over a really big previous year of growth. It looks like it's starting to level out. So, yes, China was – which affected both our compressor business and our appliance business, and Hefei Sanyo has not reported their first quarter yet, so there's nothing we can really say about that.
Ken Zener - KeyBanc Capital Markets: I understand. I was just [indiscernible]. And then if you would – I'll follow-up with you guys offline. Thank you.
Operator: We'll take our next question from Sam Darkatsh with Raymond James. Please go ahead. Your line is open.
Sam Darkatsh - Raymond James: Two more broad questions if I might. First about Europe, a few years ago, Jeff, you mentioned that I think you needed about 6% operating margin in order to earn your cost of capital. That was prior to I believe all your restructuring efforts. What margin do you now need to earn your cost of capital in Europe and can you achieve that without further material restructuring and/or industry consolidation at this point?
Jeff M. Fettig: Yes, Sam, that's correct. I think I said 5.5% to 6% given our asset base and so on is where we needed to be. We absolutely believe we can get there and now are starting to show the path to get there, and it's a combination of what I call self-help, what we're doing from a fixed cost reduction in that which is support by the restructuring that we're doing, and by the way getting the benefits for, our ongoing productivity, our investment product innovation, and I think you're starting to see the accelerated growth that we're getting, and absolutely, a stable or modestly growing market will certainly accelerate that. So, we are on track for that. I think we're going to make a very large step forward this year quarter by quarter and every asset that we have has to be able to earn us return and Europe is no different.
Sam Darkatsh - Raymond James: So to paraphrase then, the 6% or so, 5.5% or 6% is still the necessary bogie and you don't need anything dramatic to happen incremental to prior – to previously announced actions then?
Jeff M. Fettig: Well, what I've said is that we will take the appropriate cost and capacity and investment decisions needed to do that, and we have, we've announced a number of them. On the go – I can't tell you go forward what we need to do, but I will say go forward we will get to 5.55 to 6% or hopefully better.
Sam Darkatsh - Raymond James: Got you. Second question, your U.S. market share, at least domestic market share, was quite good this quarter. You did have an easy comparison on a year-on-year basis. At least directionally, I won't hold you to specificity, but directionally how should we think about your U.S. market share over the next few quarters? Knowing the comps get harder and you're not going to be matching a whole lot of promotional activity but you do have some new products coming and you have a builder mix that's favorable. So how should we directionally think about your market share trends over the next few quarters in the U.S.?
Marc Bitzer: Sam, it's Marc. First of all, pleased to hear the compliment on Q1 markets. I wouldn't call last year's baseline easy in any case, and as you know, we really don't give quarterly guidance on market share. Having said that, our market share is both sequentially and year-over-year up, that is correct. It was not done through promotions or by [indiscernible] activities, what you've seen in gross margin. This basically tells you the product launches, this innovation without overly aggressiveness on promotion, we get to steady good run rate in market share and we're comfortable with current levels.
Sam Darkatsh - Raymond James: Last question, just real quick. The BEFIEX, I think if my math holds, you will not be recognizing anymore BEFIEX credits this year and are we done or what's the status on that program?
Jeff M. Fettig: Based on what we know today, we did monetize 14 million in the first quarter and right now we would not anticipate anything if it stays for the rest of the year.
Sam Darkatsh - Raymond James: What's left to be – what's still unrecognized?
Jeff M. Fettig: There's $53 million left there tied into legal or large that will be settled over the next few years.
Sam Darkatsh - Raymond James: Very good. Thank you, all.
Operator: We'll take our final question from Eric Bosshard with Cleveland Research. Please go ahead. Your line is open.
Eric Bosshard - Cleveland Research: On the U.S. market share showed us for some further detail, it seems like the Maytag and the bigger than normal year of the product launches are still in front of you. So talk a little bit about what allowed the share progress in the first quarter, and if I'm correct, there is incremental new product coming to market that should sustain or perhaps expand the market share benefit in 2Q and beyond?
Marc Bitzer: Eric, it's Marc Bitzer again. I mean what we saw in Q1 in particular are still carryovers of largest product launches [indiscernible] particularly top loader line just called [fusion] (ph) and where we're going to help the market share gains. Our cooking products are running extremely well. It's exceptionally strong category, and we said it's also carrying over in Q1. And on top of that you had just the Q1 industry just from the overall industry, and that's impacted by Q4 promotions, and as we said last year, we are not participating that much in aggressive promotions. So you see we expect all of this met [indiscernible] for Q1 lift. But at the same time, you're correct. There is a significant amount of product launches ahead of us in Q2 and Q3 that were based on initial trade partner reactions very confident about.
Eric Bosshard - Cleveland Research: A follow-on on that, if you could give a little bit of color of Maytag which has been around for a while but it seems like you're more excited about the new product efforts and attraction and the response from the trade, can you just frame a little bit of strategically what you're doing with Maytag in terms of channel or price point or position and then also the magnitude of the uptake you're seeing from the channel on these new products?
Marc Bitzer: Eric, it's Marc again. I think to really get into detail, it's probably more subject to a [one point] (ph) investor conference to really show you the entire Maytag value creation strategy. But to basically make it short, I mean the Maytag as a brand still stands for exceptional quality and reliability. I think it's fair to say that the last decade probably and before the Maytag brand [indiscernible] all the product deserves, but this is what we're changing, okay. We have a complete new product line which I think fully represent what the Maytag brand and consumer mind stands for and that is accompanied by a very big brand we launched with both TV and ad. To be also clear, we started the TV and ad campaign, the products themselves will be launched end of May or early June. So you don't yet see that in the market. But of course we already introduced it to the trade and there is a lot of additional flooring which we will get from this.
Jeff M. Fettig: Okay, well, if there's no more question, I would just like to thank everyone for joining us today and we look forward to speaking with you next time. Thank you.